Operator: Hello, and thank you for joining the Stewart Information Services Corporation's Fourth Quarter and Full Year 2025 Earnings Call. [Operator Instructions] Please note today's call is being recorded. [Operator Instructions] It is now my pleasure to turn today's conference over to Kat Bass, Director of Investor Relations. Please go ahead.
Kathryn Bass: Good morning, and thank you for joining us today for Stewart's Fourth Quarter and Full Year 2025 Earnings Conference Call. We will be discussing results that were released yesterday after the close. Joining me today are CEO, Fred Eppinger; and CFO, David Hisey. To listen online, please go to the stewart.com website to access the link for this conference call. This conference call may contain forward-looking statements that involve a number of risks and uncertainties. Please refer to the company's press release and other filings with the SEC for a discussion of the risks and uncertainties that could cause our actual results to differ materially. During our call, we will discuss some non-GAAP measures. For a reconciliation of these non-GAAP measures, please refer to the appendix in today's earnings release, which is available on our website at stewart.com. Let me now turn the call over to Fred.
Frederick Eppinger: Thank you for joining us today for Stewart's Fourth Quarter and Full Year Earnings Conference Call. Yesterday, we released the financial results for the fourth quarter and full year, which David will review with you shortly. I'd like to open today's call with some remarks on the overall progress we made in '25 and before shifting -- and then shifting to market conditions a little bit and then our fourth quarter results and strategic outlook for each of the businesses. We are very pleased with the progress we made in '25, strengthening and growing the earnings power of all our businesses. While commercial markets saw some awakening, in '25, we remained in a multiyear slump for existing home sales with 2 years in a row of the lowest existing home sales in 30 years. Despite this market headwind, we grew revenues by 18%, net income by 48% and adjusted EPS by 46% full year '25. That growth has allowed us to gain share and improve margins. We grew the company's adjusted pretax margin to 6.8%, up from 5.8% a year prior. We have created momentum for the company through continued execution of our targeted growth plans and have strengthened our position in each business. We delivered more distinctive products and services for our customers and made good progress on becoming a destination for the best talent in the industry. At the end of '25, we also rounded out our lender services portfolio with the acquisition of Mortgage Contracting Services, also known as MCS. And in 2025, virtually all of our growth was organic, but we will continue to set our sights on additional profitable growth through targeted acquisitions, and we enhanced our financial flexibility to capitalize on potential opportunities in the near term by successfully upsizing our credit facility by $100 million to $300 million and executing an equity offering of 2.2 million shares of stock, raising $140 million to provide additional dry powder. In 2025, we also increased our dividend for the fifth year in a row, moving from $2 to $2.10 a share annually. Moving towards some highlights for our businesses. In 2025, we grew all domestic commercial revenues by 34% year-over-year. This growth can be attributed to continued success in the expansion of our national commercial services business and growth in our small commercial growth initiative in our direct operations business unit. Our national commercial services business grew 43% year-over-year with significant growth across all of our asset classes. In our real estate solutions business, we grew revenues by 22% year-over-year and continue to have a very robust pipeline of opportunities. We have made significant progress on our expansion of this business line since beginning the journey in the late 2019 and look forward to seeing how recently acquired MCS will expand our breadth and client coverage for top lenders and services. Our agency services business also made strong progress in '25, growing revenue by 21% overall. And our strategy to drive more commercial to our agents was also very successful, delivering 34% growth for the year. Now I'd like to turn to the broader housing environment and our fourth quarter results. In the fourth quarter, we were able to maintain and in most of our businesses improve on our momentum. For the fourth quarter, we grew revenue 20% and adjusted net income by 52% compared to the fourth quarter of '24. This growth is meaningful for us given the existing home sales grew in the quarter just under 1% in the same time frame. While existing home sales purchases improved very slightly in the quarter, we will see signs for cautious -- we see signs for cautious optimism for housing in '26. In the fourth quarter, 30-year mortgage rates hovered between 6.1% and 6.35% range, showing a bit more stability than more recent short-term trends. We have also seen a shift in the composition of mortgage holders with the population of mortgage holders with rates of 6% or higher, exceeding the population of those below 3%. This implies that we are seeing people continue to buy and sell for life events and that the market is beginning to accept we are unlikely to return to 3% rates in the future. In the beginning of '26, we have seen rates remain in the low 6% range, and housing inventory has continued to be a little bit better than last year. And it was up 8% for the quarter compared to fourth quarter of '24. Looking forward, we believe we have rounded the corner and are heading in the right direction to get back to a more normalized existing home sales environment in the coming years. We do not anticipate existing home sales getting all the way back to their long-term historic average of 5 million units in '26, but we believe we will begin to see modest market improvements in '26. Our direct operations business unit grew 3% -- I'm sorry, 8% in the fourth quarter compared to the same period last year, which we feel is strong given that this business is the most impacted by the effects of the challenged residential housing market. We remain focused on prioritizing share gains in target MSAs, both organically and inorganically, and we continue to make strides in our strategic initiative to grow our main street commercial business that runs through our direct office. Our main street commercial business grew 17% for the full year and 16% in the fourth quarter in direct operations. We continue to expect a portion of our future growth in this business to come from targeted acquisitions, and we maintain a growing pipeline of targets that should begin to develop as the market signals a return to normal levels. Our national commercial services business delivered another solid quarter of growth. Success for this group is largely due to increased coverage in a number of geographic markets and asset classes, expansion of our team and our ability to underwrite larger transactions over the past several years given our improved surplus. We are focused on continuing to invest in best-in-class talent to grow share as relationships are especially important in this space and will allow us to expand on our network and deepen our expertise. Because of the work we have done to continually improve this unit, in the fourth quarter, we benefited from underwriting some sizable transactions. We grew national commercial services business unit by 49% in the quarter. We are pleased with the progress here, and it really represents the improved competitive position we have built for ourselves in the commercial market. Energy continues to be a point of strength, but for the year, energy growth was less than overall growth in this sector. In '25, energy grew 34% for the year and all other classes grew 46%. We remain focused on growing all asset classes and target geographies to expand our overall footprint. Our agency services business had another strong quarter with revenues up 20% year-over-year for the quarter. This amount of growth is strong when considering that the overall housing market is near flat to last year, which affects our agency partners. We remain focused on growing this business through the expansion of wallet share with existing agents and onboarding new agents in all states with an emphasis on 15 states that are most attractive from an agency perspective. We are seeing sustained growth year-to-date agency across all our target markets and most notably, Florida, Texas and New York. Our commercial initiative with agents have also been a big part of our success as we continue to build on the momentum we have had in recent years and for our agents to differentiate our service and better our offerings to our agent partners, and we saw 34% growth in this important initiative in 2025. Our real estate solutions business grew by 29% in the fourth quarter compared to last year. We also improved our margin in the fourth quarter over last year, but our full year margin of 10.1% was a bit short of our target for the full year '25 due to some isolated pricing issues and expansion costs. For the full year '26, we fully expect to improve margins and deliver in the low teen range for this segment and expect that our recent acquisition of MCS will help us improve our historical margin outlook. As mentioned in late December, we closed our acquisition of MCS, a property preservation service provider, allowing us to expand our default services offering and cross-sell customers across our expanded product lines. We expect continued progress in this business line as the market improves. Moving to our international operations. We are focused on broadening our geographic presence and depth in Canada, increasing our commercial penetration and expanding our presence in the refi market. In the fourth quarter, we grew our noncommercial revenue by 20% for the year, and we grew total international revenue by 11%. We believe we can build on our strong position in these markets and continue to grow share. Overall, we remain dedicated to strengthening our company throughout geography, customer and channel expansion in each business to set the company up for continued long-term success. I'm proud of the work we did in '25 to further the company and look forward to seeing how we can capitalize on the potentially improving market conditions and opportunities in '26. I want to thank our customers and our agent partners for their continued trust. We are committed to doing our best to serve you with excellence. And finally, to the Stewart team, I want to thank you for the loyalty and continued dedication to excellence. We are committed to being a destination for best-in-class talent. This year, I had the opportunity to meet with thousands of employees across many different cities in the U.S. and Canada as part of my year-long roadshow. My time with you all during this series was powerful as it showed me that we have a very dedicated team that is aligned and focused on the strategic objective of becoming the premier title services company. We point to this dedication and alignment as a key component of why we received several employment awards this year, including the USA Today's Top 25 Workplaces Award, Forbes' America's Best Employers for Company Culture and ranking #1 per Forbes America's Best Employer for Women in Business Services. We are also proud that we were able to support our employees by donating $1.2 million to the Stewart Foundation to their local communities. We stood up the foundation together in '21, and we've made a significant impact on our community since the inception. I cannot be prouder of the progress we have made on our journey, which we all know that much remains to be done to accomplish our goals, but I look forward to seeing where we grow together. David, I will now turn it over to you to provide an update on our results.
David Hisey: Good morning, everyone, and thank you, Fred. I appreciate our employees and customers for their steadfast support in the slow residential real estate market. Yesterday, Stewart reported strong fourth quarter results with both revenue and profitability improvements. Fourth quarter net income was $36 million or diluted earnings per share of $1.25 on revenues of $791 million. Appendix A of our press release shows adjustments to our consolidated and segment results, primarily related to net realized and unrealized gains and losses, acquired intangible asset amortization and office closure and severance expenses that we use to measure operating performance. On an adjusted basis, fourth quarter net income was 50% higher at $48 million or $1.65 diluted earnings per share compared to $32 million or $1.17 diluted earnings per share. In our Title segment, operating revenues improved $106 million or 19%, driven by strong results from both our direct and agency title operations. As a result, title pretax income increased $13 million or 28%. On an adjusted basis, title pretax income improved 35% to $68 million from $51 million. Adjusted pretax margin improved to 10% compared to approximately 9% last year. In our direct title business, total fourth quarter open and closed orders for commercial and residential transactions improved compared to last year. Domestic commercial revenues increased $32 million or 38% with growth in all asset classes led by data centers and energy. Transaction size increased as our average domestic commercial fee per file improved 39% to approximately $27,000 compared to approximately $20,000 last year. Average domestic fee per file improved 13% to $3,300 compared to $2,900 last year, primarily as a result of transaction mix. Total international revenues increased modestly. Our agency operations were robust with gross agency revenues of $334 million, 20% higher than last year. This increase was primarily driven by improved volumes in our key agency states such as Florida, New York and commercial transactions. After agent retention, net agency revenues increased $11 million or 22%. On title losses, total title losses in the fourth quarter increased slightly due to increased title revenues. The fourth quarter title loss ratio improved to 3.4% from 3.7% last year due to our continued overall favorable claims experience. We expect our title losses in 2026 to average in the 3.5% to 4% range. On our Real Estate Solutions segment, total revenues improved 29% by $25 million, primarily driven by our credit information services business. As Fred mentioned, we recently added MCS and expect it to be a major contributor to the segment's revenues and profits going forward. The segment's adjusted pretax income improved 47% to $10 million compared to $6 million last year. We are focused on the overall cost of services and strengthening customer relationships. Adjusted pretax margin was 8.5%, 1% better than last year's fourth quarter, and we expect our margins to normalize in the low teens as these relationships mature. On consolidated expenses, our employee cost ratio improved 29% compared to 31% last year, primarily due to increased revenues, while our other operating expense ratio was 25% comparable to last year. On other matters, our financial position remains solid to support our customers, employees and the real estate market. Our total cash and investments were approximately $480 million in excess of statutory premium reserve requirements. As Fred noted, our line of credit and December common share equity offering provide us financial flexibility. Total Stewart stockholders' equity at December 31, 2025, was approximately $1.6 billion with a book value of $54 per share, which is $4 better than last year. Net cash provided by operations improved by $22 million or 32%, primarily due to higher net income. Again, thank you to our customers and employees, and we remain confident in our service to the real estate markets. I'll now turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Bose George with KBW.
Bose George: I just wanted to start with the commercial. Just given the strong commercial activity in 2025, can you talk about your expectations for commercial revenue growth in '26? And then just related question, usually, there's been meaningful seasonality in 1Q. But given what you see in the commercial pipeline, on the commercial side, do you think 1Q could be sort of a little better than usual?
Frederick Eppinger: Yes. Great question, Bose. So I feel very confident in our kind of our pipeline activity. It's pretty broad. It's pretty good. I do think there is seasonality -- will continue to be seasonality in commercial. And the fourth quarter, in particular, this year, I think, was very robust. I think you're going to see that for a lot of people in the industry for some reasons. But -- so I do think it's -- we got -- our first quarter in general should be a little bit better than last year, but we'll still have the difficulties of the first quarter in my view. And the commercial in general, I think, is going to -- it will be a good year for us next year, looking at the activity and the breadth of the activity. Some of the comparisons, it will be interesting to see on growth. So do I think we can grow commercial next year? Yes. I just think 49% is not -- like there's going to be some comparisons here given how quickly we're going to grow into our skin that we might see some kind of moderating of growth, of course, and some comparisons that might be kind of not as robust on the growth side. But again, it's going in the right direction in every class, and we're hiring and trying to really get after it. And I feel good about the depth. The other thing that's really interesting qualitatively is we're leading more deals. Like some of these big deals, right, historically, we would participate, but we control more now, and you can just feel it and see it, which gives me comfort that we're moving in the right direction. So even if we went a little sideways this year and digested the growth in the next 2 years, I'm as confident as I've always been on being able to go forward. We're probably 14% share right now in the market. I think over the next 2, 3 years, we're going to get closer to 20%, right? So I can't time that, but the momentum and our ability to get after it is there. And I do think the market in general is going to be relatively strong this year as well. So hopefully, that's helpful...
Bose George: Yes, that's great. That's very helpful. And then actually, can you remind us what percentage of your agent premiums are commercial?
Frederick Eppinger: That's a great question. So we've been obviously trying to grow that business. And let me just -- I have some of the information on that. But we grew in -- of the 20% growth, we grew purchase about 16% for the quarter and 15% for the year. We grew refi with the real estate -- with the agents about 40%, but that's only about 3% -- $3 million of growth because it's such a small percentage of our business. And then we grew -- see, the commercial was about 34% for the year. And so you can look at the mix. I don't have the specific percentages of each, but it's very small refi. Again, of the growth in the purchase, it represent about $125 million of the growth. And so you can kind of back in the percentages. But it's -- but again, it's heavy purchase. It's probably somewhere around 15% to 20% commercial now. And the rest is refi. But it's -- what's nice about it to me is that when you look at the 15% -- excuse me, 16% growth for the quarter in purchase, the market is somewhere between 1% and 2%, right? So I know this year, we're going to get the data. We're going to have another share movement in most of these markets that is pretty robust. And on commercial, I would say we're playing catch up. if I was a guessing man and I looked at my competitors, their numbers of commercial and their agency would be closer to 15% to 20% of the business. And so we're still catching up of our penetration of commercial in the agency. So I wouldn't be surprised if we -- our percentage of growth in commercial doesn't continue because we're catching up, right? We're not -- I would say our competitors are probably in the 20% to 22% range, and we're probably in that 15% range.
Bose George: Okay. Great. Actually, just one last one on commercial. Have you talked about commercial, the direct margins versus the residential direct margins? Is that something -- I can't remember if you discussed that?
Frederick Eppinger: They're a little better. Again, it has a lot -- the costs are more variable in commercial because of the way the commission structures work and the arrangements with involved and stuff. So -- but it's a tad better. It's probably 1/3 better. And again, the other thing about it is the float is also better. So there's an investment income portion of commercial that is quite important. And there is a -- and for us, I don't know -- I can't tell you what the competitors' numbers are, but scale matters because of the nature of the work. And so as we get bigger, the margins get better, right, because of the critical mass we see in some of these asset classes and skill sets. So it's a good margin enhancer, and it's a margin grower if we can continue to grow this business. We are probably somewhere -- probably the fourth quarter, 18% of our revenue was commercial. But over the year, my guess is the average was like 14% to 15%. But if I look at my best competitors, the big guys, they're probably in the low to mid-20s, if I was guessing. It's hard to back into it because it goes through the various channels. But we are, again, short there, too. So it's not just our share in that business, but even relative to our business mix, we were short. And that's why this has been an important initiative, and this progress for us is very helpful as a company.
Operator: [Operator Instructions] We'll now move on to Geoffrey Dunn with Dowling & Partners.
Geoffrey Dunn: A couple of questions. First, what are the plans for the line of credit? Do you have an aggressive paydown schedule there? Or do you think it's just the plan to let that leverage come down gradually with equity growth?
David Hisey: Jeff, it's David. I would say the latter. I mean we could pay it off at any point. I think we're just trying to keep flexibility, as Fred talked about. And so I think we're about $200 million drawn. We may bring it down a little, but you may see that for the year.
Geoffrey Dunn: Okay. And then bigger picture, I wanted to ask you about AI and the effect you feel it's had on your business and if that's still accelerating. But also the effect it's had on the broader business. It looks like there's been some capital investment coming into the space for data collection, data mining, data organization. Curious if you view those as M&A opportunities? Or is that something we should think about in terms of a longer-term competitive consideration?
Frederick Eppinger: Yes. It's a great question. It's obviously -- as I said previously, because of the way we have so much unstructured documents, there's a big benefit both on efficiency, customer satisfaction, quality because what we -- our losses are because you make a mistake, right? We're a warranty. And so the more efficient you can examine the documents and get to the right points quickly, the better you are. We have, gosh, probably 75 individual initiatives, right -- going on right now that have AI to apply in our businesses around customer service or efficiency or data consolidation and management. My view from a competitive point of view is an enormous advantage of the bigger people. It's not going to eliminate our business or anything. It's going to make us better, higher quality, better kind of throughput and consistency. It's a lot of little singles is the way I'd describe it, but important. There are tools, you are exactly right. There are innovation and tools. There's one tool in one of our businesses right now, to your point, that I'm likely to buy, so -- which is -- can get plugged in and make our service better in one of our businesses. And again, because our business is so unique and weird, this isn't a revolution. This is kind of, in my view, a way to make so many parts of your business better. And title is weird. So the opportunities tend to be smallish in these -- the market opportunity. And so there will be some of that tool thing. Just if you remember, in the P&C world after the crisis, the dot-com, same exact thing happened as all these companies failed, but some of the solutions, the models were extracted by the bigger companies to accelerate some of their innovation. And I think there will be some of that. Is it going to be massive? No. But I'm pretty excited about what's happening. And again, it's just another thing that's going to -- we have a really interesting oligopoly, right, because of the scale and size and the data and the reach. And if the big players are using this kind of tool, it's going to increase the quality of our delivery. So it's a great -- it is a really good, interesting observation. And I would also say there's characteristics in our business that are very similar between us and other kind of insurance delivery through independent channels. And so there are some of these things that are kind of repetitive. And so there'll be people that will be able to kind of accelerate your advancement because they can take something from another industry and kind of slide it over. So again, it's -- I tell our folks, what I like about it is that it's not about technology, right? It's about businesses driving improvements by using a tool that makes a more consistently -- consistent delivery of data. And it's helpful. I would also say that some of the -- what people talk about is overblown a little bit. I mean this is a world still of -- you can get to 90% of the solution, but the last 10% is the hardest, and we're still in that range. And so human intervention is going to be really -- remains really critical, particularly in our business. And again, so that's kind of how I see it developing.
Geoffrey Dunn: Okay. And then, David, just an accounting question related to this. Given the digitization at the municipal level and the increased ease of collecting data, is there any implication for the title plant assets, particularly the more legacy plants because it's now cheaper to create those?
David Hisey: No. I mean, as you probably know, title plants vary in access. The title data varies across the country. And the plants are needed in the markets that we're in to access data, so there shouldn't be any issues if you're talking about recoverability.
Frederick Eppinger: What is happening -- right. Again, what is happening is we're able through the way we've set up the centralized processing and management, the enhancing of the value of those plants has been kind of really helpful, right, because we can supplement the data in those plants more efficiently. And it's becoming kind of more helpful in our business, particularly as we grow.
Operator: We'll now move on to Oscar Nieves with Stephens.
Oscar Nieves Santana: Earlier, you mentioned seeing signs of cautious optimism for housing as we look into '26. Can you talk a bit more about the specific industry [ direction ] and whether those are broad-based or concentrated in certain [ regions? ]
Frederick Eppinger: Yes, it's a good question. So last year, everybody said -- this time last year or earlier, say, in the fourth quarter, when we had that little downturn in rates, and we had a nice little spurt in December orders and market ended up translating into some March close orders, people were saying, oh, by the end of the year, we're going to see 8% to 10% improvement. I didn't see any of that, right? Because your under 3% mortgage was still really high, and the inventory quality was not great. And a matter of fact, I think we got to a point where 20% of all transactions were really old, were flippers because it was old inventory. Now what I see is the under 3% has ticked down a little bit. The quality of inventory has gotten a little bit better and has increased and people say it goes up and down, and there's some seasonality in the inventory. But it's 8% up in the fourth quarter year-over-year, and we're seeing more activity. Do I think it's going to be more than 6% to 7% or 8% growth? No. It's modest. But I was -- it's hard to guess, but it feels like that this year. Whereas last year, right from the get, I think it was going to be flat, even though the estimates from some of the economists were up. This year, I could feel it. And you saw our open orders, right? You can see some of the open order data and how it's getting a little bit better. And so again, I don't think it's going to be over the top, but I believe we're going to start seeing some movement this year. Again, the first quarter is always hard for us for geography reasons. And as far as the breadth, I think there is some breadth to it. Again, some of the places that didn't go up as much, don't move as much like the Midwest kind of has less variability in it. And so the South tends to be the swing a lot of times. But I feel pretty good about modest improvement. So what we're trying to make sure we're on top of and planning for is that kind of how do you capture that...
Oscar Nieves Santana: And touching on rates, looking at data from the ICE Mortgage Monitor, I can see that once rates go below, say, 6%, the number of people with in-the-money mortgages increases significantly. Could you give some color and maybe quantify the impact that would have in your revenues if that were to happen and ultimately in earnings?
Frederick Eppinger: Yes. Again, there's a lot of talk about it. I don't know how scientific any of that is. But again, I look at last October, and we had a cup of coffee, a little bit under 6% and things jumped, right? So there is some optics around that 6%. What I would tell you about our economics, our big swing of our economics is really existing home sales, as we've said. And we're -- we've been sitting at $4 million for 3 years, right, with 0 growth. And the reason it's such a swing for us is because it's the fixed cost base for us with 500 locations. And particularly in the first quarter, when you're at that level, you've got so little volume going through the system, it's a real drag on your returns. And what I've said is if we got to $5 million, our margins go to 12%, right? But I don't have 12% because you're filling the excess capacity. And particularly if you want to go -- if you can't sleep one night, look at the first quarter results in '23 and '22 and '21 when things were still really strong, it's an enormous swing for us, right? Now we try to fill the bucket in direct through small commercial growth and some organic attempts around micro markets, et cetera. So you can think about a straight line almost between the $4 million and the $5 million of leverage of our business. And again, it's a little seasonal because, again, the volumes are so low in the first quarter. But that's the way we think about it. And again, it's tied -- so that's the big portion, but it's everywhere, right? Like appraisal -- you go through the businesses, there's a fixed cost portion of all those businesses. And when you're at a 30-year low, you strain kind of on the margin. That's why what I say in our lender services business, I think we're 11% to 12%. Now I think we're 12% to 13% is kind of the -- where we're going for this kind of year. But if we got back to $5 million, that thing is going to get to mid-teens because all those businesses are affected too, right? A little less, but it's part of our equation. And one of the things that are most interesting about us is if you look at '19 to '24, for example, in the volumes, all our competitors' margins went down more than ours because of the volume decrease and ours went up, but that's because we started bad. So we've made improvements, but we're still very tied to that core metric and trying to give less metrics. The other thing I would say, and I've mentioned this a number of things in public settings, because I think there's some chance that it's a journey beyond 4.5% is going to take longer. I mean, I think we're going to get some improvement, but it could get stalled for various reasons. We're working hard to make that -- try to get to double digit at 4.5%. A lot of work to do, but with geographic focus, some product portfolio stuff we're doing, some operating model because I'd like us to be able to show kind of improvement if we get stalled at that kind of 4.5% because there is some chance it's just going to take a little bit longer to get to 5%. So I'm kind of -- I'm optimistic on an improvement, but I'm cautious about how quickly it gets to that $5 million, $5.5 million and really focusing on continuing earnings growth while we get there.
Oscar Nieves Santana: Yes. And maybe a last one, and I'll get back in the queue. You've highlighted efforts to grow agency in a few targeted MSAs, including Texas. With the Texas Department of Insurance finalizing the reduction in title premium rates effective March 1, if you can walk us through how that change will flow through your financials and how you're thinking about the impact on the business, both near term and longer term?
Frederick Eppinger: Yes. So the rate, again, is like 6%, what that agreed to is a 6% reduction, and it's like July or something. And so that's much less of an issue than it was when it was 10%, first of all. But what we've done is we've addressed this through reviewing all our fees and services and stuff in Texas. And so it's less -- it's low single-digit impact on earnings this year. So we managed it well. Now I'm concerned for some of our agent partners in rural places in particular, because they don't make a lot of money, and that's a meaningful change. And so I do think it's going to cause some disruption in the agency -- some of the agencies, particularly small agents in parts of Texas because there is a -- in my view, right now, there's not a ton of margin for agents given the rate structure. What's weird about our world, right, is that people think about it as a cyclical world. So they take a 3-year average or a 5-year average or whatever. The problem is that '21 and '22 are once in a lifetime, never happen again kind of event. And if you weigh them too much, you overreact to the excess earnings that were made in those 2 years. And I think Texas is a perfect example where that reduction is overstated given what today's environment is, and it's going to have an impact on agents. But for us, it's not. Financially, I don't think it's going to be much, if anything -- like I don't -- we put it in our plan, everything, but it doesn't change my expectations of growth of earnings or anything in our businesses.
Operator: [Operator Instructions] And we do have a follow-up from Oscar.
Oscar Nieves Santana: All right. I guess this will be my last one. You highlighted efforts to grow -- you talked about prioritizing share gains in those key MSAs, both organically and through M&A. Can you give us a bit more color on how you're thinking about that strategy today, including whether that -- you have a target level of capital that you plan to deploy this year and how that might be split between the title business and the Real Estate Solutions business?
Frederick Eppinger: Great question. So in direct, to me, the direct, as I said, is more of a kind of a fixed cost minimum scale way to think about direct in MSA levels. And early on, the problem we had is we were an inch deep and a mile wide. So we had a lot of offices that were chronically unprofitable unless the market was at its peak. And so we shut some stuff down, reallocated capital. We actually purchased in about 30 MSAs, some business because of the scale difference, if you get over 10% share locally is -- the margins are much better. The ability to manage the ups and down is better. Your service consistency is better, your ability to centralize things and variabilize the cost of them. So we have this -- we reviewed the 140 MSAs. We said which ones are mostly agent oriented, which ones are we strong, which ones we like the market, but we're not where we need to be. And we have 30 or so MSAs in particular that we think we can move the dial, and it'd be good for the company to get to a higher share level in those areas. We also have what I call micro markets, which is the markets, the suburbs of Nashville, the difference between Austin and San Antonio, the growth in between where we can do fill-ins and acquisitions and tie it to the bigger offices in those locations. So we have these targets that would materially both improve top line and bottom line for the company. For the last 3 years, we've got -- we kind of didn't do really any because what happened is agents weren't making any money. And so their price expectations -- they weren't going to get enough to be comfortable or happy about that. So they can kind of talk to us and communicate with us, but there was a price point even with an earn-out. What has happened is as people have reengineered their operations through -- getting through the tough times, they're making a little bit more money. They're seeing the improvement that I'm seeing. All of a sudden in these target markets, those conversations are becoming more constructive, right, for those that are deciding this is one of the alternatives they want to consider. And so for me, I've said over the next 3 years -- I said a bunch of times, over the next 3 years, I see $300 million roughly of acquisitions in the direct channel against these kind of markets that would structurally improve our margin regardless of cycle in that business. And so what I'm saying and what I said in my script, I am much more optimistic that this year, some of that can start to happen. And I don't know when. And again, I only want people that want to be here. I only want it to work for both of us. So it's getting to that right trading price, so there's no risk for us and no risk for them. And I think we're getting closer. And so that $300 million in my mind over the next 3 years is kind of the way I've thought about it. As you know, most of the transactions in that space are small, $10 million to $30 million. It's what -- because you're geared to a market or a market opportunity. And that, by far, if you look at our overall capital plan, I would say the other businesses I'm in -- are in, we don't need to do acquisitions. What I have said out loud recently is that in lender services, there's a couple of spots where we've got really good traction that it might make sense to consolidate some of the competitors. Again, those won't be -- they wouldn't be big transactions. But what's emerging is we've got so much momentum with some of the big lenders that filling in our network or buying some of those customer relationships could make some sense. So again, that's a little bit more opportunistic. And again, it's not -- I don't think you're going to see a $300 million opportunity. Those again are -- will there be a $20 million or $30 million opportunity. The other thing I would say is what Jeff just said, there are a handful of really teeny like $3 million, $4 million of tool sets that I do think will be available in some of these businesses that accelerate some of the development we want to do to make our service better and our delivery better because of what's happening with not just AI, there's a bunch of things happening with certain development. So that's where our capital is. I don't think it's going to be a huge number. I think what happens quickly as the market comes back and we improve margins, we generate a lot of cash. So I believe the majority of what we're going to be doing is self-funded. I still believe that. And it was just a timing thing here that I wanted to give ourselves some flexibility because of what I saw happening over the next 6, 9 months. But I think in general, we should be able to self-fund what I'm talking about over the next 3 years.
Oscar Nieves Santana: I'm going to stick to my word. You answered the follow-up that I would have but...
Frederick Eppinger: Thanks a lot. Appreciate it.
Operator: We'll go next to Geoffrey Dunn with Dowling & Partners.
Geoffrey Dunn: Just a couple of number questions. David, could you update us on what you saw January trend-wise for orders and also share your thoughts for investment income in the coming year relative to '25?
David Hisey: Yes, Jeff, I mean with respect to orders, I think Jeff -- or Fred just covered it a little bit. Things have been opening up a little, particularly relative to last year's quarter, they're up a bit. We just have to see how things play out here because rates have been a little volatile as you've seen. But right now, things seem to a little bit better than last year. With respect to interest income, and this also goes to Fred's comment on the flow benefit of getting commercial. So as it stands now, if you plan on maybe 1 or 2 rate cuts and assume most escrow earnings are tied to short-term rates, we may come down a little bit, but most -- we don't expect it to come down that much. And the main reason is because the escrow balances will grow and offset it.
Geoffrey Dunn: Okay. So largely a volume offset to rate cut impact?
David Hisey: Yes. I mean I would say it could come down a bit, like several million or so, but it's really a function of how quickly -- like if they don't drop rates until the fall, right, and volume continues to pick up, then you're sort of holding, maybe increasing a little, right? If volume doesn't pick up as quickly and they drop rates like at the next meeting or 2, right, then you could go down a little bit.
Operator: We'll now move to Bose George with KBW.
Bose George: One more for me as well. The -- actually, can you give us an idea about the revenue contribution from MCS? And is there much seasonality there as that comes in?
Frederick Eppinger: Yes, both good questions. So there is a little seasonality, particularly in the first quarter, okay, for that business. It's -- and we -- I think when we bought the company, we talked [indiscernible].
David Hisey: Yes. Bose, I think we had covered this a little bit in different forms, but it's about $165 million a year revenue company sort of in the $40 million EBITDA or so range. And we'll just have to see where it goes from there because foreclosures have been increasing as you've seen, FHA delinquencies have been increasing, but that's about how they're running now.
Frederick Eppinger: Yes. So a little lower in the first quarter...
Operator: At this time, there are no further questions in queue. I will now turn the meeting back to management for closing remarks.
Frederick Eppinger: I just want to thank everybody for their interest in Stewart. As I said earlier, I'm very pleased with '25. We've made good progress, and we have good momentum. And I believe that momentum will continue into '26 if we stay focused. So thanks for -- thank you for all your attention and interest in the company. Thanks.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.